Operator: Thank you for holding and welcome to the Titan Pharmaceuticals’ Third Quarter 2013 Financial Results Conference call. At this time, all participants are in a listen-only mode. Please be advised, that this call is being taped at the Company’s request and will be archived on the Company’s website starting later today. At this time, I would like to turn the call over to Sunil Bhonsle, President of Titan Pharmaceuticals. Please go ahead.
Sunil Bhonsle: Thank you, Janine, and thank you all for joining us. Welcome to the Titan Pharmaceuticals call to review financial and operational results for the third quarter of 2013. Before we begin, I wanted to inform you that we filed our Form 10-Q with the SEC yesterday detailing our third quarter financial results. The press release issued yesterday provides a summary of the results and can be found on our website at titanpharm.com. Joining me on the call today from Titan, we have Dr. Marc Rubin, our Executive Chairman, Dr. Kate Glassman-Beebe, our Executive Vice President and Chief Development Officer, and Brian Crowley, our Vice President of Finance. Before we get into the details of the third quarter performance and an update on the Company I want to remind everyone that certain matters we will discuss today, other than historical information, consist of forward-looking statements relating to among other things, our expectations concerning our financial results, available cash, development programs, partnering arrangements, regulatory strategies and business plans. The forward-looking statements are not guarantees of future performance and are subject to a variety of risks and uncertainties that could cause actual results to differ materially from the results contemplated by the forward-looking statements. These risks and uncertainties are described in our Annual Report on Form 10-K filed with the SEC. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. We undertake no obligation to update or revise the information provided in this call whether as the results of new information, future events, or circumstances, or otherwise. Well, having said that, let's start with an overview from our Executive Chairman, Dr. Marc Rubin. Marc?
Marc Rubin: Thank you very much, Sunil and good morning or good afternoon to all of you who are joining us depending on where you're located. And of course welcome back to those of you who had the opportunity to join us on our call just two days ago. The third quarter has been marked by important progress for Titan, as we along with our commercialization partner Braeburn Pharmaceuticals have worked diligently with a team of expert advisors, evaluating all the information available from the Probuphine development program and other sources to prepare the briefing material addressing the issues in the CRL. The Board is very pleased with the progress made by Titan and Braeburn in preparation for this Tuesday's meeting with the FDA, and this has included the submission of a comprehensive briefing materials package last month. The goals of the meeting this Tuesday the 19th are; one, to understand more fully the issues raised in the April 2013 complete response letter; and two, to review and discuss the available data from Probuphine studies conducted to-date and gain further clarity regarding the regulatory path forward for Probuphine. Following this meeting, we should have the ability to prepare the full and final response to the CRL, which will likely include some new data analysis. Following receipt of this, the FDA has up to six months to respond but of course the timing and the final decision are not certain as of now. As you know and as I mentioned, Titan and Braeburn have been working with a team of experts and regulatory advisors to address the issues that were raised in the CRL. This is a time consuming and an expensive process that is ongoing. Importantly receipt of the CRL has clearly delayed the potential commercial entry of Probuphine. The addiction market in the meantime has continued to evolve with the entry this year of additional daily dose products. In light of the delay and the changing commercial landscape Braeburn approached Titan and explained their need to modify the terms of our agreement in order to enable them to move forward with the program. In turn, the delays have been and would continue to be a drain on Titan's cash, and we recognize the need to raise capital to support our ongoing operations. The Board evaluated financing alternatives and believes that obtaining capital at or near market without warrants was the best option at this time. Accordingly, we entered into discussions with Braeburn and we believe the restructured agreements, which Sunil will explain in more detail in a few minutes, along with the investments brings the companies into better alignment. With respect to the investment and pursuant to the terms of the stock purchase agreement, Titan will issue 6,250,000 shares of its common stock to Braeburn for an aggregate purchase price of $5 million or $0.80 per share which was the closing price of the shares on November 11, 2013. It's very important to note that this investment includes no warrant coverage. And I want to emphasize again that this deal structure has been the output of a very mature and a balanced business discussion between Titan and Braeburn, where we arrived at a mutual understanding on both parties’ needs in this changing environment and has led to a reasoned and balanced solution that addresses the needs of both companies, and it certainly maintains and I think actually strengthens our partnership moving forward. Given the nationally recognized and ever growing and increasingly devastating opioid dependence epidemic there is a critical need for new safe and effective treatments that reduce the likelihood of abuse, diversion and accidental pediatric exposure. Our goal remains the same to make Probuphine available to those clinicians, to those patients and families, who may benefit from it. We want to thank you for your continued support. And now for more insights on the third quarter financial results, I’d like to pass the call back to Sunil, Sunil?
Sunil Bhonsle: Thank you, Marc. I will provide next the third quarter financial results and I’m sure you’ve seen a lot of the details in our press release as well. Net loss for the third quarter ended September 30, 2013 was approximately $1.1 million or about $0.01 per share. This compared to a net loss of about 8 million or approximately $0.12 per share for the comparable period in 2012. License revenues of approximately $2.2 million for the three months ended September 30th reflect the amortization of the upfront license fee received from Braeburn in December 2012 for its license agreement for the U.S. and Canadian rights to commercialize Probuphine, which is our investigational subdermal implant designed to deliver continuous blood levels of buprenorphine for six months following a single treatment. Titan generated no grant or royalty revenue during the three months ended September 30, 2013. Our total operating expenses for the third quarter were approximately $2.3 million, compared with about 3.9 million for the comparable period in 2012. And these consisted largely of research and development expenses of about 1.7 million, compared to approximately 3 million of R&D expenses for the comparable period in 2012. This decrease in R&D costs was primarily associated with a decrease in external R&D expenses related to the preparation and review of our NDA for Probuphine. General and administrative expenses for the quarter were about $0.6 million, compared to approximately 0.9 million for the comparable period in 2012. The decrease in G&A expenses is primarily related to decreases in non-cash stock compensation of about 0.2 million, and lower legal fees of about 0.1 million. At September 30, 2013, Titan had approximately $9 million of cash, compared to about 18.1 million at December 31, 2012. Titan believes that its working capital at September 30th together with the 5 million in proceeds from the recently announced sale of common stock to Braeburn is sufficient to fund its planned operations into January 2015. As Marc mentioned earlier and as we discussed in our press release issued earlier this week on November 13th, Titan announced the $5 million equity investment by Braeburn Pharmaceuticals, as well as adjusted terms to its license agreement for the U.S. and Canadian commercialization rights for Probuphine. In summary, under the terms of the license agreement amendment there will be a reduction in the milestone payment upon approval by the FDA of the Probuphine NDA from 45 million to 15 million and an increase in the total amount of potential sales milestones payments to Titan from $130 million to $165 million. Also, the sales threshold to achieve the highest royalty tier has been lower. Braeburn also will assume all responsibility for all third-party expenses related to the Probuphine regulatory process. The amendment also contains a provision entitling Titan to receive a low single-digit royalty on sales by Braeburn of other mid or long-term continuous delivery treatments for opioid dependence up to a maximum of $15 million. This is an addition to the royalties that Titan will receive on Probuphine. Also Titan has the right to elect to participate in sales by Braeburn of other products in the addiction market in exchange for similar reduction in Titan's royalties on Probuphine. This amendment will be effective upon the closing of the sales of shares. At this time, I would like to turn the call over to the operator for your questions, Janine?
Question:
and:
Operator: Thank you. (Operator Instructions) And we'll take our first question from Michael Higgins with Empire Asset Management.
Michael Higgins : Pretty straight forward quarter and call, just to confirm, are there any additional expenses that Braeburn is covering or a better way to ask are there any additional expenses that you guys are covering as it relates to the regulatory submission on Probuphine because -- if the memory service it seems like Braeburn is covering pretty much everything at this point going forward outside of any potential or additional clinical trial class. Is that a fair summary?
 Empire Asset Management: Pretty straight forward quarter and call, just to confirm, are there any additional expenses that Braeburn is covering or a better way to ask are there any additional expenses that you guys are covering as it relates to the regulatory submission on Probuphine because -- if the memory service it seems like Braeburn is covering pretty much everything at this point going forward outside of any potential or additional clinical trial class. Is that a fair summary?
Sunil Bhonsle: In terms of the regulatory process obviously following the CRL and so on, Braeburn is covering all of those expenses. And I mean there are certain things that we are obligated to do that are not related to that directly, but those we will -- which were there from before we will continue to do. And that's how the projections are based.
Michael Higgins : Based on the Braeburn guidance it looks like this is a reasonable quarter you continue modeling going forward. The second question I have got is on pipeline investment, can you give us any guidance as to when you may turn that on namely on the Parkinson’s space or other ideas and certainly pain is one that has been written about recently in your filings. Any updates for us on when you turn on those figures to investment pipeline?
 Empire Asset Management: Based on the Braeburn guidance it looks like this is a reasonable quarter you continue modeling going forward. The second question I have got is on pipeline investment, can you give us any guidance as to when you may turn that on namely on the Parkinson’s space or other ideas and certainly pain is one that has been written about recently in your filings. Any updates for us on when you turn on those figures to investment pipeline?
Sunil Bhonsle: Well, clearly in terms of pain with Probuphine and that is something that will be a Braeburn decision and we will certainly keep you updated as that moves forward. With respect to what Titan is looking as such the Parkinson's and some other areas with the ProNeura technology. There the work associated with moving that to an IND stage is something that we have focused on previously. We will do a little bit of it, but certainly the decisions to move quickly with that will depend also on how things go over the next few months with Probuphine. Our primary focus always needs to be Probuphine right now.
Marc Rubin: Yes Michael, this is Marc as Sunil said the focus clearly is on getting Probuphine approved and so really all effort is focused on that now. But as we said we do have other things like Parkinson's and some other things we have not talked about that we're very excited about. And we certainly hope to be able to move those forward quickly once assuming and hopefully assuming that the Probuphine issue does get resolved and it can be approved.
Operator: Thank you. And we'll take our next question from Jason Napodano with Zacks.
Jason Napodano : Just trying to understand from a timing standpoint, obviously I appreciate the goals that you guys are trying to accomplish from the FDA meeting next week. I just think it’s interesting that you mentioned following that meeting you should be able to be in position to file a response and hopefully hear back from the FDA in six months. After that response -- it's almost like you’re assuming there will be no additional studies that need to be completed following, coming from that meeting. So I guess two questions from that, kind of how confident are you that there will be no additional clinical work that needs to be done after that meeting. And if that's the case where are you with the NDA re-file, if you come out of that I mean what's kind of the best case scenario coming out of the meeting and being able to get the application back to the FDA?
 Zacks: Just trying to understand from a timing standpoint, obviously I appreciate the goals that you guys are trying to accomplish from the FDA meeting next week. I just think it’s interesting that you mentioned following that meeting you should be able to be in position to file a response and hopefully hear back from the FDA in six months. After that response -- it's almost like you’re assuming there will be no additional studies that need to be completed following, coming from that meeting. So I guess two questions from that, kind of how confident are you that there will be no additional clinical work that needs to be done after that meeting. And if that's the case where are you with the NDA re-file, if you come out of that I mean what's kind of the best case scenario coming out of the meeting and being able to get the application back to the FDA?
Marc Rubin: Well, Michael I think the best case scenario is that obviously we do not need to conduct any certainly onerous studies. And the material we provide ultimately will be sufficient to address the issues and that we can have a positive outcome in that timeframe, but we can’t make any assumptions at this time. We don’t know what the FDA is thinking and so as far as assumptions on clinical trials we are lack thereof, we can’t make any at this time. We certainly hope that that is the case. We believe we have a very good case in justifying that and as it’s going to great lengths to be able to explain that and to address the issues raised in the CRL, but we just can’t make any predictions based on that now. We have to wait to see how it goes and what the FDA thinks.
Jason Napodano : And then I guess I will just leave at that, I wanted to hear more about if possible some of the additional data and analysis that you guys will be showing the FDA but I assume that you’re not willing to share that with us at this time?
 Zacks: And then I guess I will just leave at that, I wanted to hear more about if possible some of the additional data and analysis that you guys will be showing the FDA but I assume that you’re not willing to share that with us at this time?
Marc Rubin: Well that’s right as we talked yesterday -- two days ago when we had the call. And we are obviously looking at all the data we have and we’ll bring in a little bit of new data to help, explain and address the issues raised by the FDA and explain our responses, but we can’t beyond that now.
Operator: Thank you. And we will take our next question from Arthur Davis a Private Investor. I am sorry we have Jefferson Fuller who is also a Private Investor. And Mr. Fuller your line is open.
Jefferson Fuller : Hey quick question, I am not sure you can actually go into detail on this or not, but with the request for a Type B meeting, the FDA turned around and is offering a Type C meeting, can you give any guidance behind that and also their logic behind doing that and kind of what that might imply as far as going on in their mind as far as the regulatory process going forward?
 Private Investor: Hey quick question, I am not sure you can actually go into detail on this or not, but with the request for a Type B meeting, the FDA turned around and is offering a Type C meeting, can you give any guidance behind that and also their logic behind doing that and kind of what that might imply as far as going on in their mind as far as the regulatory process going forward?
Sunil Bhonsle: In terms of the Type C meeting that is in a really only a classification from within the FDA. In terms of our interaction with the FDA for us it really does not signify any difference at all, it is essentially -- our goal was to get a meeting where we could present the information that now we’ve submitted in our briefing book and have the ability to have a dialogue with the FDA about these issues so that we know exactly what may be necessary for the final approval and that was the purpose of our submission. They just classified it for their internal purposes in a certain way and that’s the Type C, but it makes no difference in the type of meeting for us.
Marc Rubin: Yes and importantly Type A, Type B, Type C do not designate relative degrees of importance or anything like that, it’s often misinterpreted it really is just an administrative categorization based on what is being submitted and where things stand. So this is officially classified as Type C but it has no bearing on their views or the outcome whatsoever.
Jefferson Fuller : But does it have -- I know you mentioned the six months response window that they have after you submit the final package to them following the meeting, so that is a little accelerated versus some of the other meeting types or is it within the Type C?
 Private Investor: But does it have -- I know you mentioned the six months response window that they have after you submit the final package to them following the meeting, so that is a little accelerated versus some of the other meeting types or is it within the Type C?
Sunil Bhonsle: There is no direct correlation between what Marc mentioned in terms of the six months to any of the type of meetings that really has to do with -- the NDA which has already been filed it will be re-filed with updates based upon the CRL. And the timing of review for the FDA is based upon what classification in terms of the re-filing of the NDA and that’s where we believe it would be up to a six months timeframe for that period.
Marc Rubin: We have Kate Beebe on the line, Kate do you have anything you would like add just to clarify the categorization of Type B, Type C meetings?
Kate Glassman: No, I think you’ve covered it all Marc.
Beebe: No, I think you’ve covered it all Marc.
Marc Rubin: Okay.
Operator: And at this time, we do have one question remaining in the queue. (Operator Instructions) And we will hear next from Arthur Davis a Private Investor.
Arthur Davis : Well, I was apparently late for audience in the middle of my question, apologies. It’s quite alright, I am back again. I was a little bit confused on the threshold for sales and exactly how much it is lowered and when?
 Private Investor: Well, I was apparently late for audience in the middle of my question, apologies. It’s quite alright, I am back again. I was a little bit confused on the threshold for sales and exactly how much it is lowered and when?
Sunil Bhonsle: In terms of the royalty in different thresholds for the graduated royalty rates, we have not disclosed that detail as you know and that has been maintained confidential in the filings that we’ve done with the SEC. So I cannot tell you the specific new threshold is. I can say that the lower of the highest threshold level, it is significant for Titan.
Arthur Davis : I guess giving your answer, Mr. Bhonsle, my next question would be, investors are limited in the information that they receive. And we were aware until the recent amendment was made that there would be $50 million or $45 million payment on approval, so that was known to us. And now the amendment to the agreement in effect adds a new element, involving an increase in the royalties from 130 million to 165 million but by not disclosing the details you in effect reduced the level of knowledge that we have?
 Private Investor: I guess giving your answer, Mr. Bhonsle, my next question would be, investors are limited in the information that they receive. And we were aware until the recent amendment was made that there would be $50 million or $45 million payment on approval, so that was known to us. And now the amendment to the agreement in effect adds a new element, involving an increase in the royalties from 130 million to 165 million but by not disclosing the details you in effect reduced the level of knowledge that we have?
Sunil Bhonsle: I hear what you say Mr. Davis but that is currently the way the information that we can provide. One thing I think you I’m sure understand and realize is that, as we go forward and overtime we hope to be able to provide additional information that will provide the details that make things maybe more easier to look at but right now this is all we can say.
Arthur Davis : Well, that’s okay but at some point in time I wish you would consider the plight of the poor, lonely, loyal, long-term investor?
 Private Investor: Well, that’s okay but at some point in time I wish you would consider the plight of the poor, lonely, loyal, long-term investor?
Sunil Bhonsle: I certainly hope that we can provide additional detail and trust me we consider every shareholder to be important for Titan.
Operator: Thank you. And this does conclude today’s question-and-answer session. At this time, I would like to return the conference back over to our speakers’ for any additional or closing remarks.
Sunil Bhonsle: Thank you, Janine, and thank you all for participating in this call. We remain confident in our belief that Probuphine has the potential to be a transformative new treatment for opioid dependence and we appreciate your ongoing support. We will continue to provide updates regarding Probuphine in our anticipated upcoming FDA meeting to discuss the regulatory back forward as they become available. Thank you and have a great day.
Operator: Thank you. And this does conclude today’s Titan Pharmaceuticals’ third quarter 2013 financial results conference call. We thank you again for your participation.